Operator: Hello and thank you for joining us today on the Statoil Conference Call for the Second Quarter of 2015 either by phone or following us on the web. My name is Peter Hutton, Head of Investor Relations at Statoil and I am joined today by Torgrim Reitan, CFO; Svein Skeie, Head of Performance and Risk and Ørjan Kvelvane, Head of Accounting. I am conscious that today is a very busy day for everyone on results. So we will keep this call tight on timing and should be finished by 1.30 U.K. time. Torgrim will present the results and drivers for the quarter for around 15 minutes or 20 minutes and then we will open us for quick questions and answers for around 30 minutes. With that, I'll pass the word through to Torgrim for his presentation.
Torgrim Reitan: Thank you very much Peter and good afternoon and welcome. We had three messages for you today. First, we delivered an encouraging set of adjusted numbers, solid operational performance generating strong cash flow and we used on excess compared with the first quarter. Second, cost improvements are coming through, giving visible impact on the bottom line and third, we're also -- we also see good progress on capital efficiency. This enables us to lower our organic profit guidance and also taking into account changes in the dollar krona rate. We expect organic investments in 2015 of around $17.5 billion. In addition, we announced that we're converting to U.S. dollar as our presentation currency from the first quarter 2016. This will better reflect the exposure to dollars in the underlying business and also facilitate comparison with peers. We will also be clear on dividends and dollars. This starts now with the second quarter dividend of $0.2201 per share. This is consistent with the previously guided levels of NOK1.80 per share. Our reported net income for the second quarter was NOK10 billion, positively impacted by the divestment of Shah Deniz. Adjusted earnings after tax were NOK7.2 billion and NOK22 billion before tax. This is impacted by lower commodity prices compared to a year ago. However, cost improvements are coming through to the bottom line and we've been able solid operational performance with good production growth and continued high regularity. We also saw another strong result from our downstream business. Please note that the weakening of the Norwegian krone to dollar continues to impact our financial results as it is measured in Norwegian krone. It increases revenues, operating expenses particularly out of Norway and capital employed. Finally, our tax charge was NOK15 billion. Tax and adjusted earnings was 68% Strong results from the mid and downstream business with lower tax rates contributed rents with after-tax earnings on the profit level. In a low price environment our tax rate is expected to be higher than normal. So please be aware of this in the coming quarters. Our upstream operations in Norway are performing well. The lower earnings compared with the same period last year are due to lower prices. But this is offset by reduced operating expenses. So far we have taken down operating expenses by 11% year-on-year and then even higher percentage reduction on a per barrel basis. We see lower feed cost driven by improvement, reduced activity level and lower turnaround. Production on NCS was at 7% and around 9% adjusted for divestments, good production efficiency. We're ramping up new fields like Gudrun, Svalin and Valemon. We have produced flexible gas from Troll and Oseberg in accordance with the value over volume strategy and we had lower maintenance in the same period last year. At the same time, we continue to invest for the future. In June we submitted a plan for Phase I of the development at Gullfaks to the Ministry. We also installed the world's first subsea wet gas compressor at Gullfaks. Also in June the plan for development and operations for the Johan Castberg projects was approved by the Norwegian Parliament. Over the past weeks, awarded important contracts on Johan Sverdrup. Recently started constructions at Verdal; a large industrial project ongoing in Europe. The results from our upstream business outside Norway are also impacted by lower prices. We continue to deliver high production adjusted for divestments close to 4% growth despite higher impact from planned turnaround. Our entitlement production is up 9% due to lower ESA effect. We report an increased depreciation charge in Norwegian krona. This is due to currency effect and ramp ups on new fields. In dollars DD&A is down 16%. Operating momentum is good and production cost in dollars is down 10%. Finally MPRs again delivered a strong result across the Board more than double earnings compared to the same quarter last year. We’re realizing high margins at our refineries delivering solid trading results across all commodities and solid performance in European pipeline gas and in LNG. As you know the results from MPR will fluctuate. I have earlier said that around $3 billion is a normal quarter this invalid. However, if the business environment remains supported with contango in the energy markets and stronger refinery margins you should expect result above these levels. I’m pleased to report another quarter with strong operational performance. We produced 1,873,000 barrels a day that’s 4% compared with the same period in 2014. Adjusted for divestments growth is at 7% with a solid 9% on gas. Stable operations and high production efficiency, regularity improvement continued and decline remained stable at around 5% and we continue to ramp up production at Gudrun, Svalin and Valemon in Norway, CLOV in Angola and Jack and St Malo in the U.S. This gave an increased production mix with liquid gas 8% and gas back. We've maintained strong cash flow from operations during the first half of the year at NOK88 billion. We've realized NOK24 billion in fees from divestment. We have paid three tax installments on the NPS and please note that these are based on 2014 earnings. The second half of this year, tax payments will be based on 2015 earnings and thus be lower than in the first half of the year. We saw higher after-tax earnings from the MPR segment. Year-to-date we have paid NOK11 billion for dividends and then we have invested NOK464 billion. We have a strong financial position. As you've seen, we have maintained a strong credit rating with stable output. Our net debt ratio is now 23.4% which is down from 24% in the previous quarter. As regard this February we expect to see increasing gearings as certain prices as we are prepared to use the flexibility in our investments to safeguard a solid financial position and we're currency running with more than $20 billion in cash. Our efficiency programs are progressing well. The offline -- the key initiative as capital markets updates. These are now coming through, through the bottom line and we remain on track for the 2016 targets. I want to highlight some of the deliveries in the first half of this year. We continue to improved the offshore drilling and well performance. The target is that 25% time savings and we are on track. In the U.S. onshore we also see strong performance at almost 30% cost reduction. I will of course follow this very closely from usage. Then we are making good progress on facility CapEx, this is CapEx net income in the future and I’m particularly pleased with our efforts to increase robustness and further optimize these projects with using the breakeven prices. We will come back with more on this as our next capital market updates. In February, we increased our ambition, our modification CapEx savings. Fixed prioritization and good earnings has to seen for this program. Then on the cost side, we continue to see field cost on the NCS moving down and we continue to see high production efficiency. Well, as you can see from the chart on the right hand side, our adjusted operating expenses and SG&A are coming down. Operating expenses and SG&A are down by around 15% quarter-on-quarter. We're improving both in our international business and in Norway. The numbers confirm that we're working smarter and delivering. I’m particularly proud of the strong engagement I see from team across the company. As you also know that this is just the start, major efforts lie ahead of us. Let me close by turning to the outlook. We reduced our CapEx guidance for 2015 from around $18 billion to around $17.5. This is based on gain from our efficiency programs coming in even stronger and faster than expected and also from gains from currency. If the current krona to dollar rate is maintained through the year, there is an additional potential to reduce the investment level. As we said at our Capital Market Day, we continue to prioritize high value growth and use our flexibility to increase returns and to balance our cash outlook. We maintain significant CapEx flexibility in 2017 and 2018 and we have financial robustness. We continue to invest in the best projects. Ongoing developments to grow organic productions by around three percentage point per year towards 2016 and we have many processes this year. Valemon as you have seen, Edvard Griegs, Goliat as well as fast track numbers 11 in Norway. As we have also experienced delays on some developments projects such as in the Gulf of Mexico. Though we are following those projects closely, make sure that deliveries remain according to plan. We will continue to ramp up Gudrun, CLOV in Angola and Jack and St Malo. Planned production growth is expected to be around three percentage points a year from 2016 to 2018 and Johan Sverdrup will come in late 2019. For 2015, we have a somewhat lower turnaround activity than previous year. Full year maintenance is expected as 45,000 barrels per day, 45,000 barrels per day should be expected at the impact in the third quarter as well. And finally on the exploration side, we have shared with you some more detail on the program at the last presentation. In the second quarter, we made few discoveries on the NCS and we announced the discovery earlier this month. Internationally forward, in Gulf of Mexico was a technical discovery and in the U.K. was aside. We still expect to spend around $3.2 billion in exploration this year and this is positioning for the long term. So let me round up an encouraging set of numbers. Our operational performance and efficiency improvements coming through. We delivered strong cash flow and lower gearing. We reduced our CapEx guidance for the year and our financial position remains robust. We're dealing forcefully with the current market environment, at the same time continue to position for the long term. Our next results presentation will be held by the incoming CFO, Hans Jakob Hegge is a very experienced leader and the CFO area will be in safe pair of hands. As you know, I am taking over as Head of our U.S. business starting in August and it has been a really privileged to work with you all over the past five years and I look very much forward to continue our discussions in my new role. So thank you very much for your attention and then I will leave the road to Peter to guide us through the Q&A.
Peter Hutton: Thank you, Torgrim. We're now ready to move to Q&A. And in the interest of time and efficiency, can I please ask you to keep yourself to one question and maybe time for a follow-up question during the course of this call before it finishes at around 30 minutes of this Q&A. So with that end, can I please ask you to open the lines to call for questions?
Operator: [Operator Instructions] We will now take our first question from Haythem Rashed from Morgan Stanley. Please go ahead.
Haythem Rashed: Thank you. Good afternoon, gentlemen. I wanted to ask one question particularly around the operational efficiency improvements, the chart that you show in the presentation. It looks in particular like the field costs on the NCS have seen a big improvement in this year in particular. Just wanted to get your thoughts on how that sits versus your expectations. Was this something that you have been pleasantly surprised with? Do you think that there is potentially scope for more to be done there? It looks like your well into delivering on your target for 2016. If you could provide a few thoughts around that And apologies I know I'm going to break the rule here, but just one very quick follow-up question. Your Marcellus production gas on the gas side was particularly strong this quarter relative to previous quarter. If you could just give us a bit of color on what's driving that that would be very helpful.
Torgrim Reitan: All right. Thank you very much. On the field cost on the NCS, I am particularly impressed by the momentum in the operating organization and ability to save our cost quickly on the field cost. So this is part of the target that I think I will say it is -- it has come with higher momentum and quicker than we had into the plans and I think this comes from a very engaged organization that really sees opportunities to improve the business currently. On the Marcellus production we are now running six weeks in Marcellus one is operated by us and others are operated by Chesapeake and Anadarko and growth in Marcellus production is mainly coming from wells hooked up through the gathering systems and coming into inter production efforts. So that we're able clear that oil and gas into the Toronto markets and in U.S. markets and in the second quarter we have quite a nice uptick from the value on Marcellus gas.
Haythem Rashed: Thank you very much. Very helpful.
Operator: We’ll now take our next question from Oswald Clint from Sanford Bernstein. Please go ahead.
Oswald Clint: Yes, thank you very much. Maybe could I ask a question on divestments please? Obviously this year they look a little bit over double what you'd done this time last year. And obviously that's helping to balance the cash out of things. Could you tell us, Torgrim, what we should expect? I know you don't have divestment targets but do you have a list of identified or credible assets that could be sold through the rest of the year and even into 2016. That's the question. And if I could break Peter's rule as well please just to ask a question again on the US but on the liquids shale side. I think I saw a sequential decline in terms of your oil volumes. Could you just talk about what you might expect for 3Q and 4Q? Thank you.
Torgrim Reitan: Thank you, Oswald. On divestments you said it yourself. We're not having a specific target on it. The reason for that is that we don’t consider ourselves to be in a application where we have to sell them and are we are not forced -- not want to be a forced seller. Second point, very glad that we have been able to do some very good transactions in a high price environment and we benefit from that in the current environment and on the third point on your question whether it’s more to come. Well there are still assets in the -- and there is still work to be done through high-grade over portfolio even further both on the assets that we have and also potential as on the portfolio, but all of that is purely driven by opportunity and environment and this is an integral part of strategy that we drive. So I think I’ll have to leave the comments to that general level Oswald. On liquids production, I’m sure we have that production growth in ductile compared to the same quarter last year of 17%. We’re currently running with high rigs there. So it has been going since last year. Just to comment was then also related from first quarter to second quarter we had done time enabled, which we have for higher for the quarter. So it's turnaround in the downtime in the second quarter.
Oswald Clint: Okay. Thank you very much.
Operator: And we'll now take our next question Biraj Borkhataria from RBC. Please go ahead.
Biraj Borkhataria: Hi, thanks for taking my question. And best of luck in the new role, Torgrim. It was on CapEx. I know you lowered your guidance for the full year but your H1 CapEx if you annualize it is running well below that. Do you see further downside beyond the $17.5 billion for 2015? And then secondly, just very quickly, could you comment on the level of committed CapEx for 2016?
Ørjan Kvelvane: Thank you very much, its Ørjan. So extrapolating the current spending for the full year of course gives the low number than $17.5 billion. If we assume the same dollar krona rate as is in the market currency, you should expect somewhat lower than $17.5 billion. I think that's fair to say. CapEx next year we haven't giving any explicit number on that, but it is a lower number than the current spending.
Biraj Borkhataria: Thanks.
Operator: We will now take our next question from Peter Nielsen from Sydbank. Please go ahead.
Peter Nielsen: Good afternoon and thanks for taking my question. One question on dividend, based on consensus expectations that looks like you will pay out 80% to 100% of your 2015 earnings. What should we expect for the future in terms of dividend payout ratio?
Torgrim Reitan: Thank you, Peter. Our dividend policy is meant to work through cycles and our intention is to grow our dividend in line with long term growth in underlying earnings. So that policy remains firm. We have today changed to declare all dividends into dollar and you should expect that to be the level going forward. So otherwise all prices are in dollars compared to earlier. We also see that cost are coming down and capital intensity is coming down and because we could be able to feel the time, net returns will include even in the current cost environment.
Peter Nielsen: So just one follow-up, so what you're saying is that on the current oil price, you expect to be able to keep the current dividend while payout ratio will decline?
Torgrim Reitan: I know you've been listening very carefully to this question and I'll refer to the dividend policy which is what we have and also to what we had on the capital market paid in temporary, but we demonstrated that we will be able to navigate in the [$6,800] [ph] environment within -- with a very solid balance sheet and also entering the dividend policy. So generally things have developed -- we have seen significant progress on the programs and promises in general.
Peter Nielsen: Thank you.
Operator: We will now take our next question from Jon Rigby from UBS. Please go ahead.
Jon Rigby: Yes. Thank you. I was just looking back at your presentation from February and you kind of highlighted some very considerable flexibility that you did have in CapEx $5 billion to $7 billion I think you talked about and that is largely dependent upon whether you sanction or not a number of currently non-sanctioned projects, excuse me. So what I am wondering is with us now six months later, where would you characterize yourselves in terms of maturing those sanction projects or non-sanction projects? Do you think those are now further away as you start to think about when the right time is to FID them or do you think right now that the shape of the project sanctioned list is broadly the same as you would have thought about six months ago? And then just on that is can you just confirm or not whether that $5 billion to $7 billion was based upon the cost that you saw in the market as of February this year and whether you're starting to see some downside to those costs in the project that you're trying to sanction, thanks.
Torgrim Reitan: Thank you, Jon. So what has happened since the February presentation is the following. We have not made sanctions -- we have not sanctioned investments that are sort of jeopardizing the various portfolios. So we have kept the flexibility which is very important in these times. The second observation is that the project that we haven't decided to delay other coming significantly better and significantly more profitable. So we see breakeven prices for those projects really moving quick downwards and it is very, very encouraging. And then -- so it actually -- from my seat, I would say that there has been significant value created from delaying projects and giving them the opportunity to make concepts in line with developments and capitalize on lower supply cost. When that is said, there are still more work to be done on these projects. So we will keep the flexibility and we will have the opportunity to sanction when the timing is right.
Jon Rigby: So just would you agree that versus what you saw six months ago, you see downside both in terms of timing and also in terms of the actual physical cost of those projects that you're looking at six months ago? Is that fair to conclude?
Torgrim Reitan: I would not call them downside. I will call it improvements. So we see a stronger set of projects and we have maintained the flexibility and investment program.
Jon Rigby: Right. Thank you.
Operator: We will now take our next question from Lydia Rainforth from Barclays. Please go ahead.
Lydia Rainforth: Thanks and good afternoon. Just one question -- on the -- if I go back to the efficiency program, you did announce in June further time or times of further guidance in the side the business in response to the lower oil price environment and particularly around simplification of work processes and changes in the organizational process. Are those incremental to what you saw back in February or is that as part of the existing program.
Torgrim Reitan: Thank you, Lydia. So all the simplification efforts and standardization is an integral part of the program that we communicated. So is very much in line. I think that is when we really crack that code, I think that is an area that has a significant upside over years to come.
Lydia Rainforth: Okay. Thank you.
Operator: We will now take our next question from Michael Alsford from Citi. Please go ahead.
Michael Alsford: Thanks for taking my question. So one question from me too, just maybe looking at the current portfolio, do you see having I guess sufficient optionality at the low oil price environment to sustain and arguably grow production over the medium term or perhaps do you see the need to use the downturn and your balance sheet to add new assets to the portfolio? I guess what I am trying to understand is whether you feel comfortable that you got the portfolio debt today to carry on and sustain the business or do you feel that there is holes to fill? Thank you.
Torgrim Reitan: Thank you, Michael. We have more than 100 projects in the portfolio that we can invest in. It is fair to say that that project portfolio has been -- the breakeven price in that portfolio has been sort of impacted by the environment we've seen over the last three to four years. So this project has improved significantly to just to be invested in the current price environment. We see that many of these are now coming into profitability levels that product makes sense, those projects make sense absolutely in the current price environment and have more to come. So I see our portfolio with optionality also in the current price environment, but have more work to be done on these projects before we're ready to move forward with them. When that is said, second part of your question, we're of course looking also on everything else that's moving in the world. There is a lot of sales processes going on globally and we're monitoring that closely. I think it's fair to say that -- I think it is fair to say that it is not necessarily their high quality assets that hits the markets in these days.
Michael Alsford: Understood. Thanks Torgrim and just a follow-up when you mentioned the point around the kind of existing backlog and how things are looking to be more able to be sanctioned in this lower operating environment, are you simply looking at the spot price, or are you really thinking about where the forward curve is? So it worked for the forward curve prices but not necessarily just at the spot price?
Torgrim Reitan: So in these days, our profit net present value is not enough to be allocated investments. So there is good business in delaying project and making then even better and improve the project. So even if project has profit in present value it is not sufficient to be invested in these types. We have paid in a more cautious view as we discussed last quarter and reduced our long term outlook for oil and gas prices.
Michael Alsford: Okay. Thank you very much.
Operator: We will now take our next question from John Olson from ABG. Please go ahead.
John Olaisen: Thank you for taking my question. At the capital markets update in February, you said that you will have free cash flow to cover dividends in 2016 with an oil price of $100. Given all that you're saying now with profit coming down, capital intensity coming down and breakeven levels coming down, etc., will you be willing to give us some indication how much the $100 free cash flow needed to cover dividends 2016 has come down? What is that number now?
Torgrim Reitan: I cannot give any specific details from that. The guiding we gave in general still remains firm. If anything things are progressed, quick what we achieved in February. So the guidance still remains firm.
John Olaisen: Okay, And on the CapEx guidance for 2016, at that same market update, you simply indicated flat CapEx in 2016 compared to 2015, and now you said, if I got it correctly on one of the previous questions, you said that so far, you have committed less in CapEx for 2016 than what you're guiding on for 2015. Should that be an indication that CapEx for 2016 is likely to be lower than in '15? Is that correctly understood?
Torgrim Reitan: We have not issued any specific guiding for 2016 and a dividend but we have a growing flexibility.
John Olaisen: So no dividend, but really the CapEx story.
Torgrim Reitan: I understood the CapEx, so we have growing flexibility in the CapEx, so the good thing with our investment portfolio is that we have the flexibility and in these times flexibility is gold, so on guidance on CapEx 2015 is likely to come up at Capital Market Day next year.
John Olaisen: Okay. Thank you.
Operator: We will now take our next question from Thomas Adolff from Credit Suisse. Please go ahead.
Thomas Adolff: Hi. Just one question, please. I wanted to dig into the details of your production targets, the moving parts and contingency you have, you might have eaten into. If we look at 2015, you say 2% growth, unchanged from your prior guidance. If I go into the detail, Goliat is a bit delayed again. Big Foot won't contribute, possibly not even next year. So I wondered, you might see submissions here and there in other projects, Korip or Heidelberg or whatever. I just wanted to get a sense for whether some of these delays are being offset by an improvement in platform uptime in the NCS or whether you're using your contingency or just some details please, thank you.
Torgrim Reitan: Okay. Thank you, Thomas. So production growth so far this year is good and the guiding for the year remains firm. A need for our forward production guidance, we also always have some sort of contingency in there. What has happened is that we have continued to deliver high regularity from all operated business, which contributes positively and we have also decided to produce from Troll and Oseberg in this quarter also adding production and that has been of value over volume strategy. So the guiding remains firm.
Thomas Adolff: Can I just follow up and just get a sense for whether you can quantify in KBD terms the improvement platform uptime year-on-year i.e. last year?
Torgrim Reitan: So in general I would say that one percentage point of improved uptime is around 10,000 barrels per day on the Norwegian Continental Shelf and this year we have, I mean, both last year and so far this year we have seen an improvement of several percentage points compared to earlier years. So it's absolutely a meaningful contributor.
Thomas Adolff: Perfect. Thank you very much.
Operator: We will now take our next question from Anish Kapadia from Tudor, Pickering, Holt & Co.. Please go ahead.
Anish Kapadia: Hi, other question of exploration, it sounds like you've significantly lowered drilling time, you're seeing drilling rig rates coming down and you're seem to be getting through your prospects quicker and bringing some forward from last year. And then I suppose the most high cost barrier and goal doesn’t seem like there is a lot of follow-on potential over there, just wondering if that means that the $3.2 billion of exploration CapEx is sharply lower than next year. I know it's down kind of 10%, 20% or so. And then just also just one if I can, just some update in terms of your progress so far Gulf of Mexico and your Canada drilling campaigns this year. Thank you.
Torgrim Reitan: Okay. Thank you. So we think and we are of the strong opinion that it's possible to create value through exploration through the cycle both in high price and low price environment and we think it is important to be consistent on the exploration strategy also in the low price environment. We work consistently with building and inventory of high impact opportunities. So we can maintain and check the drilling program and that's the case for 2015 and we are well underway on building the portfolio for the future. So when it comes to the actual spending level for next year, we have to revert to that later, but the general poll is that we intend to continue to explore through the cycle. In the Gulf of Mexico, we had Thorvald as a technical discovery this quarter. We have an interesting prospect called Ponat that is spread actually in the third quarter in July from most developer and that is to test the potential expansion from the same block. So we're probably looking at a November date for completion of that. On the Canadian business, Bay du Nord, as you know we are in the big program up there. So now we're doing follow-up drilling, but we have no plans for announcement of this in this year. That's a short update on the U.S. drilling program.
Anish Kapadia: Okay. That's clear. So by technical discovery and about discovery for non-commercial.
Torgrim Reitan: Yes, that's what we call it non-commercial, we call it technical.
Operator: We will now take our next question from Hamish Clegg from Bank of America, Merrill Lynch. Please go ahead.
Hamish Clegg: Hi, thanks for taking my questions. Just a few little things to clear up. First of all why you decide to convert into dollars right now? You mentioned the easier comps, should this mean that it makes life easier looking for potential acquisitions in the market? And on that point, with your dividend which is now rebased on dollars, perhaps you could just confirm that the $0.22 per quarter base that you're going to stick with is effectively 30% down year-on-year. So you've managed to sort of work in a 30% dividend cut. Am I right in understanding that so your Norwegian base will effectively be vulnerable to the krona dollar swing in currency? Second question I just had was really looking at CapEx and you're knocking at [$7.6] [ph] to give us the updated guidance, based on the current run rate we've already seen, I am looking at more like $16 billion of CapEx or can we expect that to really increase in Q3 and Q4 as payments on Johan Sverdrup start to kick in? Thirdly, just Torgrim, I'm wondering why you're moving from the role of CFO to the U.S. maybe just a little bit of personal color you could shed on that. It seems like a step down, or are you going to get paid any more or less? Is there a tax advantage to that? And what's your sort of career outlook? And then just finally on tax, you mentioned the cash taxes are being charged on 2014 oil price levels. When you look at the effective run rate, it appears that you're running at nearly half the cash tax levels that you were at last year. So correct me if I'm wrong, but it looks like the cash taxes that we're already seeing for the first half this year are implying a 70% tax rate that we would normally expect.
Torgrim Reitan: Okay. Thank you. So on in the dividends we want to change our presentation currency through $2 and we do that from the first quarter next year and we released the product our dollar business as we want to take away, currency noise in our reporting. So it's sort of a much better match to the business. Now at the same time we also find it natural to be clear dividend in dollars sounds well because we want the dividend commitments to match the business which is a dollar business. So we are doing that now and we are changing the declaration currency from the second quarter is to take away uncertainty and speculation from this just firm it up right away and looking at the…
Hamish Clegg: And it's cheaper. And it's cheaper for you in dollars, am I right in thinking, than it was a year ago?
Torgrim Reitan: Well we are a dollar company and we measure everything in dollar and that's the way we look at on all our commitments should be just make sense business wise. Then on CapEx guidance, so I answered that earlier on. So I don’t need to repeat that. It is of course currency related. Then on personal note on moving to the U.S. I’m very encouraged by even having the opportunity to take broadly the leadership cost and having a scenario that will be very important for in this future. So really looking forward to do that. Of course it’s hard to leave the CFO role because I like it so much, but it is very easy when I know what I’m going to do over the next period. The last question I didn’t figure out what goes for.
Hamish Clegg: It was just on the tax side, you mentioned that the taxes you'd been paying in the Norwegian continental shelf this year were based on 2014 oil prices, implying that we could expect the tax to come down in the second half of 2015. I was just looking at your numbers. It doesn't appear that they're -- it appears they're already nearly half of where they were in 2014, so I was just wondering, analytically, if that made sense, to expect taxes to come down the second half of the year.
Torgrim Reitan: You have to look at paid taxes and that is going to be lower in the second half than in the first half of the year.
Peter Hutton: Okay. Before we move into the next question can I just repeat we do ask to keep it to one or two questions for a reason. We're time constrained and so if we move to the next question if you could maintain the discipline that will be helpful for everybody. Thank you very much.
Operator: We will now take our next question from Anne Gjoen from Handelsbanken. Please go ahead.
Anne Gjoen: Thank you. Good afternoon. Two small questions. Are you willing to give an indication of by the end of this year, net debt to capital employed, for example, with your gas price of today or at $60? And the second one, the maintenance activity is rather low that you're guiding for third quarter and full-year guiding. My understanding is that this will be considerably higher next year. Have you got any comments more specific on that? Thank you.
Torgrim Reitan: Thank you, Anne. So we haven't given any specific on the net debt for the yearend, but you should be expecting to increase the current price environment towards the end of the year. It will also be impacted by the dollar-krona rate as well. But it's very hard to give a specific number on this as that currency cost is variable at times and this is also partly the reasons why we're actually shifting to report in dollars to take away that type of noise. When it comes to maintenance next year, you're right. The maintenance level next year will be higher than in 2015 and we will have to revert later on the specific numbers on that.
Anne Gjoen: Thank you.
Operator: We will now take our next question from Rob West from Redburn. Please go ahead.
Rob West: Hi there Torgrim. Thanks very much for taking my question. I've got one on Johan Sverdrup, which is so interesting because it's a big project in the maintenance portfolio. Is it really going through contracting during this downturn? If I add up to all the contracts you've announced, I think that includes almost all of the case except -- or the larger except one jacket and some of the surf, you were at about NOK40 billion, so that's third of the rate towards your NOK117 billion target for Phase 1, but there is quite a lot of head space to contract a jacket from that and all the smallness on in that NOK40 billion number. But given that as long as there is nothing you can say about how that cost so far is coming in relative to what you expected or anything around the contingency in those numbers or what you need to see to be sure of hitting that Phase 1 budget and then I have one more on the dividend, but I'll pause there and sort of on Peter's request of one question.
Torgrim Reitan: Thank Rob. All right so Johan Sverdrup, excellent progress in the project and there is no loss of momentum, so that's very good. We have awarded high major contracts and then in addition lot of smaller contracts as well and you're right summing it all, it's close to NOK40 billion. We will not comment specifically on how this is compared to the total number, but we see that we're able to take -- to have the current environment reflected into the contracts that are awarded.
Rob West: Okay. Thanks for that enigmatic comment, but makes sense. Can I ask one more on the dividend there, but to sympathize a little bit with Hamish's point that with it's actually moving the entire P&L from krona to dollars, the weakest krona to about 10 years and I guess the tangible impact of that is we're converting the dividend of the weakest krona level in that 10 years as well. But I just wonder if we weren’t well with oil price went back up and the krona began strengthening with the dollar again you could increase the -- it would increase the dollar dividend as a result because it pace of FX now what was in your favor. I think does now Cap being seen at $0.2201 per share forever is that…
Torgrim Reitan: Okay. Thank you, Rob. So I mean it's sense to make this cheap than we want to take away the uncertainty for the investors and we are a dollar company and we're dollar export and the investors in our stock get a dollar exposure when they invest in stock and the dividend from are dollars and of course the currency cost between dollar krona tangle both ways from here as the forward curve is what it is.
Rob West: But if the dollar was to begin weakening rapidly against the krone, is there any -- you wouldn't rule out increasing the dollar dividend, because dollars are now cheaper relative to krona?
Torgrim Reitan: Thank you for all the question, Rob, but this is not the time and place to announce an increased dividend.
Rob West: That’s fair point.
Torgrim Reitan: I want to just tell out moves it's going to be set in dollars, automatically transacted into. It’s very important that they don’t trade here. So the second quarter dividend is $22.01 per share and the intention that that is same for the third quarter and the fourth quarter and then when you consider the first quarter 2016 the AGM will discuss the dividend level and it will take the basis in the dividend declared in dollars.
Rob West: Thank you.
Operator: We’ll now take our next question from Torbjorn Haland from Fearnley Securities. Please go ahead.
Torbjorn Haland: Good afternoon. Thanks for taking my question. A question on the realized oil price. It seems you realized a lower discount to Brent for the international division. Can you give some color to the background for that? Also, some color on what you expect going forward? And secondly, also on the return on average capital employed, on your outlook section, you say that you expect to maintain this 2013 level adjusted for price and foreign exchange effects. Could you give some comments to what you mean by that? Thank you.
Torgrim Reitan: So Svein Skeie will respond to the return on capital employed and how we will make adjustments to that. So when we come to realize oil prices internationally, we see the same with reduction in realized oil prices internationally as we do in Norway since last year 44% and 45% respectively. The international or realized oil practice impacted by the Peregrino quality in Brazil, which is a lower realized price than Brent and in addition there will be the other qualities but also in particular realized prices in the Bakken Field. So then on the return on the capital employed so Svein.
Svein Skeie: On the return on capital employed as you said in the guidance is that having similar level at certain level which we communicated at the Capital Markets Update in 2014 and we show that it's on actual prices and so what it was last year. We're also then showing sensitivity in the 20th regarding the impact of all oil prices and gas prices pre and off the taxes and how that's impacted.
Peter Hutton: And before we move to the next question we want to keep this call short, so let people get away for other things that I know starting shortly in the sector, we still have three questions which we will take. So we will extend the call very slightly so that we can do that one, but please kindly ask if we can take the questions, but sure so that we can use people time fully and effectively. Thank you.
Operator: We’ll now take our next question from Nitin Sharma from JPMorgan. Please go ahead.
Nitin Sharma: Good afternoon, Torgrim. My question is on the 2016 operational efficiency target of $1.7b. You've given an update on the good progress that you're making, so I thought probably get some clarifications on that. I think that number of $1.7 billion includes OpEx and CapEx savings, probably over $1b coming from CapEx, remainder from OpEx and SG&A. Could you maybe confirm that breakdown and then give me what net of tax cash impact is from SG&A efficiency savings, if you were to achieve that 2016 target please?
Torgrim Reitan: Okay. Thank you. So $1.7 billion you're right. There is $1.3 million related to CapEx and $0.4 in OpEx our target. And the improvements will come across the Board both in Norway and in internationally and the recent tariff will have a sort of smaller impact on after tax earnings due to the tax rate than the international influence.
Nitin Sharma: Should I be using a 70% tax rate, average tax rate, of the company for the coming up with the post-tax number for OpEx savings, please?
Torgrim Reitan: Well I think that's fair. I think it's also fair to say that any improvements done on CapEx will probably there is a lag on depreciation and all of that and you know more immediate impact on cash flow and CapEx than OpEx.
Nitin Sharma: Thank you.
Operator: We will now take our next question from Theepan Jothilingam from Nomura. Please go ahead.
Theepan Jothilingam: Yes, afternoon. I've got one question, just one point of clarity, just on Statoil's CapEx, Torgrim, can you just clarify how much of the CapEx is non-dollar, because you talked about the FX moves, so I'm just trying to understand what's non-dollar in there. And then secondly, my question is more on could you discuss perhaps what you're seeing in terms of underlying gas demand in Europe both for the first half, but then how you see the outlook in the second half. Thank you.
Torgrim Reitan: Thank you, Theepan. So on CapEx the investments in the Norwegian business is -- CapEx is mainly dollar driven across the Board. We did Norwegian spending. There are tons of Norwegian krona exposure that is quite limited. When it comes to the European gas market, you've probably seen from our numbers that the realized prices in the gas market has remained where it was over the last year and we're very glad to see that. We see that it's a robust market and we're able to generate a significant value for our gas business in Europe. So there are underlying gas demand is in place and we see an increase in demand for the Norwegian supplies to particularly north and western part of Europe, but also into other eastern part of Europe. So we see gas as being solidly on the energy roadmap for the future in Europe.
Theepan Jothilingam: Okay. And just coming back to -- is that NOK number in CapEx, is it less than 10%? Is it 5%? I'm just trying to get some sort of feel, given that you talked about CapEx being somewhat lower if you go mark to market.
Torgrim Reitan: I think as you may be recall we walk away into specifics, but it's limited impact.
Theepan Jothilingam: Okay. Thanks very much.
Operator: We will now take our next question from Neill Morton from Investec. Please go ahead.
Neill Morton: Good afternoon. My last question was on CapEx, so I have no questions. Thank you.
Operator: As there are no further questions, I would like to hand the call back to the speakers for any additional remarks.
Peter Hutton: Thank you. Well thanks Ann and thanks to everybody. I would like thank everyone for participating on the call today and thank Torgrim and for taking the opportunity to wish him the best of luck for any start in the year. Next quarter I look forward to doing the call with Hans Jakob for the third quarter. So with that I will close the call, let people move on and if there is as every if any further questions or follow-up, please don't hesitate to contact Investor Relations. Thanks very much indeed. Good afternoon.
Operator: That will conclude today's conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.